Operator: Ladies and gentlemen, thank you for standing by, and welcome to the 2U, Inc. 2019 Fourth Quarter and Full Year Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. . I would now like to hand the conference over to your speaker for today, Ed Goodwin, SVP, Investor Relations. You may begin.
Ed Goodwin: Thank you, Operator. Good afternoon, everyone, and welcome to 2U's fourth quarter and full year 2019 earnings conference call. On the call, we have Chip Paucek, our CEO and Paul Lalljie, our CFO. Following Chip and Paul's remarks, we will take questions. This call has been simultaneously webcast on our website where you can find our press release, which was issued after the close of the market as well as our earnings presentation. The webcast replay of this call will be available for the next 90 days on our Company website under the Investor Relations link. 
Christopher Paucek: Thanks Ed. 2U is starting 2020 with tremendous momentum. We had a strong finish to 2019 and we are excited to see what’s happening. Universities are launching more with us. Our degree business is turning the corner. Our short course business is sliding new courses and enrolling students in record numbers and our boot camp business is starting to deliver on the strategic value of our acquisition.  As we move through 2020, we will improve our operational efficiency with continued realignment and short corporate hygiene. I really like where we are headed, maintaining industry-leading revenue growth while delivering margin improvement through the year and driving toward positive free cash flow, all of which is only possible due to the unwavering commitment of 2U employees to do what’s right by our partners and their students every day.  On today’s call, I’ll provide an overview of our 2019 performance and discuss where the business is heading in 2020. Our CFO, Paul Lalljie will then walk you through our results with more detail and commentary.  Let’s start with the highlights of our 2019 financial and operational performance. Full year revenue increased 40% to $574.7 million, notably even without the addition of Trilogy. 2U crossed $0.5 billion in full year revenue. On the bottom-line, full year adjusted EBITDA loss totaled $23.9 million reflecting the significant investment we made in the Alternative Credential segment. 
Paul Lalljie: Thanks Chip and good afternoon everyone. As you have seen in our announcement, we had a strong fourth quarter to close out 2019. Revenue for the quarter was up 42% to $163.2 million and for the year, revenue totaled $574.7 million, up 40%. Both the grad business and the Alternative Credentials business had strong growth year-over-year. The grad business grew 20% and Alternative Credentials grew 38% on a pro forma basis.  Adjusted EBITDA for the quarter was a positive $5 million, compared to a loss of $10.7 million in the third quarter. We ended the year with $189.9 million of cash and the revenue backlog of $525 million across the business. We are set for a strong 2020 with momentum across the business and compelling leading indicators.  Now for a closer look at revenues. Revenue in the Grad business segment came in at $108.2 million for the quarter, up 12% year-over-year. This was driven by a 20% increase in full course equivalents or FCE partially offset by a 7% decrease in revenue per FCE. As was the case last quarter, the majority of the decrease of revenue per FCE was due to a shift in mix. 
Christopher Paucek: Thank you, Paul. Before we open it up for Q&A, I want to take a few minutes to talk about one of the core hallmarks of our business model. The institutional independence of our non-profit university partners, something that gets too often overlooked in the public back and forth about OPMs in the business model.  A few things are more sacred to university and shared governance and their institutional independence and respect for both of these principles is central to our business model and the success of our partnerships.  When you hear me say that these are not our degree programs, those aren’t just words. In practice, our partners’ exercises saying academic and governance controls over their online program as they give for their traditional campus-based degree.  That includes, seeking and maintaining accreditation approval, hiring, paying and managing the faculty, developing and improving degree program curriculum, establishing all admissions criteria, making all admissions and financial aid decisions and setting tuition prices.  We’ve already helped our partners bring the best of themselves online. So it shouldn’t come into surprise that the quality and outcomes delivered by 2U powered degree programs are comparable to and in some cases surpass those of campus-based programs.  Notably, students in 2U powered programs are more diverse than the national average. And I wanted to point something about – something out about our business that I think what comes to surprise to many of you. In 2019, we estimate that only 38% of 2U’s total revenue in the company came from tuition payments to our partners derived from Title IV eligible student loans, 38%. I co-founded 2U on the belief that online higher education could be world-class and live up to its full potential by harnessing the power of great non-profit university.  As the first-generation college graduate who is able to attend the George Washington University, thanks to a federally funded telegram and is as a proud alarm of the 2U powered MBA UNC program, I know firsthand the power of that transformational impact. The world needs more high quality education. 2U and our business model are part of this solution. And now, we are open to Q&A. 
Operator:  Our first question comes from the line of Brad Zelnick with Credit Suisse. Your line is open. 
Bhavin Shah: Hi, this is Bhavin on for Brad. Just to start congrats on a good quarter. I appreciate all the color and information you guys have provided on different segments. But maybe, just for start, can you provide more insight in how we should think about graduate programs for 2020. I know you said double-digits, but should we think closer to the 4Q growth rate or the 3Q growth rate?
Paul Lalljie: So, this is Paul here. There are a couple of things. Our guidance for the year which is 725 to 750. As you can see the midpoint of that range is roughly around 28% on a year-over-year basis. The graduate degree portion of our business is no longer 75%, 80% of our total revenue. It is less than that. We have significant growth coming from our Alternative Credential business.  So, to some extent, we are not providing guidance at the segment level, but it’s a portfolio management from our perspective. We are allocating our capital on a monthly and a quarterly basis, based on the opportunities that we see. For example, in 2020, we're launching five programs. In 2019, we launched 17 programs.  So to some extent, we will focus our resources where the opportunity exists for us to hit that midpoint of that guidance range and quite frankly, right now as we sit here, we are targeting the top-end of the range.  So, it is not a particularly – we won’t be giving guidance on the grad segment, or the Alternative Credential segment in particular and we are not focusing on any one segment, but on the growth of the portfolio as a whole.
Christopher Paucek: Another thing I would add is that, we are pretty excited about how we see the grad business turning. And so, pleased with some of the developments in our legacy programs, like we mentioned with MBA@UNC. That program was discussed at lengths and we did get specific approval to be able to talk about it because , as you know we really can’t talk about our clients' programs without their approval.  And that one the story was – it was just incredibly encouraging about what we are delivering for students and for the school at this stage of the game a decade later. 
Bhavin Shah: That’s helpful. Appreciate the context. And the follow-up is just I appreciate the color you gave on the top 20 new programs and nice to see two new programs in there. Is there any common characteristics that you are seeing with some of the new programs that have seen success? Is there anything underlying that that you are able to see in the data that shows, hey, these kind of programs can be successful? 
Christopher Paucek: We – in clinical fields, we do have at this point I think a fairly large mode around the company from the standpoint of being able to build high quality field experiences with our great partners. We think that will continue to provide big opportunities.  There is a bunch of verticals that we are newly entered that have these characteristics. So, we have one psychology program. We have on physician assistant program. So there is a lot of opportunities for us to expand in the verticals that we are clearly winning. And then in some of the other verticals, you’ve got the complexity of a really strong economy that does tend to make it a harder road to hoe on programs like business programs. But I have to say, we are actually holding our own quite a bit. So, planting the flags in regions where we are underpenetrated is very important. 
Bhavin Shah: Thanks. Congrats again. 
Operator: Thank you. Our next question comes from the line of Ryan McDonald with Needham. Your line is open. 
Ryan McDonald: Yes. Thanks for taking my questions. I guess first, I wanted to – if you could double down or talk a little bit more about the dynamics that you are seeing within the different cohorts. I guess, if we are looking it on a year-over-year basis, when we look at the three to four year cohort in the greater than four years.  We saw slightly less profitability, I guess, in those cohorts. What did you see I guess, are impact outside of perhaps the issues that you kind of dealt with throughout the year that sort of drove maybe less than your expected profitability? Thanks.
Christopher Paucek: Ryan, do you mean, in the greater than four years, we actually saw greater than expected profitability? So I just want to correct that statement. 
Ryan McDonald: Just comparing to the year-over-year it looks like in the greater than four years you are at 38% this year versus last year I think it’s at 42% in that.
Christopher Paucek: Yes. But we’ve always – as we mentioned last year, we think it’s really important that you think of that mid-30s as our expected target. We did say to expect – not to expect the margins to be in the 40s longer term.  And I think, as you know, we had some really significant notable decreases that were well talked about in some of our larger programs. So we were pretty excited about the fact that the core business model not only held up, but it was stronger than our long-term target. 
Ryan McDonald: Got it. Got it. Okay. And then…
Christopher Paucek: We also had some good movement between the other cohorts. So, you can see that some of the other cohorts moved in a positive fashion and at this point, we feel very strongly that the grad business will continue to deliver strong margin as you shift the balance of the programs from newer to mature, we should see that impact the total amount over time as well. I am pretty encouraged by that. 
Ryan McDonald: Got it. And then, I guess, switching to the new announcement with the University of London and t he expansion there for additional degrees within that program. Can you talk about the dynamics of what you are seeing with launching an undergrad program in multiple degrees on that and how that compares to launching a graduate program? Thanks.
Christopher Paucek: So, it is the same model. Our business we deploy, what we deploy across 2U in the last comprehensive platform to build, deliver and support world-class higher education at scale and nothing defines scale better than undergrad. It’s something we’ve taken our time to find the right program to enter. It's a fabulous opportunity with two of the best brands in the world.  We think of it internally like a larger grad program. It should be larger than a normal grad program. But the reality is, when you look at the opportunity, if we were thinking about this like a venture brand company, we’ve been talking about tens of thousands of students. It’s a really big market. It’s an incredible brand.  You got from a CapEx standpoint, you’ve got reasonably ring fence sort of size given that it’s all within business and as you know business is incredibly sort after at the undergrad level. So, this was an opportunity to work with a school that had an existing program that they really wanted to bring into our format.  They became convinced that retention as we did. We think retention will be able to drive higher. And the other thing I would say, encouraging about this is, not just this year, size of the opportunity. But the confidence of the partner given how spectacular the LSC short course experience has been. It’s been a great experience with LSC on the short course side and it has been a worldwide experience.  So that the LSC legacy and brand is clearly a worldwide brand in a way that candidly surprised us. So, we really love that we are entering with the University of London and the London School of Economics, the largest part of the market. If you think about, in the U.S., graduate education is $80 billion, undergrad is $550 billion in total.  So it’s just a much, much bigger market. So, we are going to be careful and launch this in a high quality manner. And not do a ton of them before we get our legs on the opportunity, but it is hard to overstate how excited internally we are about this whole initiative.  And, marketing, many of you have folks that are interested in undergrad. You could find our page is live and we’ve already got great interest from consumers. So I would encourage you to send people to the website and become a prospect. 
Operator: Thank you. Our next question comes from the line of Stephen Sheldon with William Blair. Your line is open. 
Stephen Sheldon : Hi, thanks. First, can you talk about changes to the graduate program selection process that you've made since mid-2019? Now that you've slowed program launches and have had become a little bit more selective, what are the kind of the main factors you are thinking about as you choose, which partners and which programs to launch? And what effect does that have on your negotiating leverage?
Christopher Paucek: So, you can think about it in sort of three, almost like a triangle, return on invested capital, quality, growth. We want all three. The reality is, you’ve got discipline that we are really underpenetrated where we are winning and winning in a way that is not just defined by what it does financially that people on this call get excited by.  But what it does for the student and the university. And we do expect to continue to expand in the verticals where we are seeing traction. And we’ve always been selective about what we run and you are correct that we did slow the cadence. You can think about it a little bit like in 2012, we took a break and it was probably the most important thing we did at that early venture backstage.  In this case, we are slowing, it’s not a pitstop. And we do expect to ramp back up in 2021 and right now have, not only ample opportunities, but many that are the late stage of the process. So, as we’ve gotten more efficient about how to launch these programs, we do like the idea of fueling that efficiency into a broader portfolio and ramping back up the cadence in 2021.  So, we have a bunch of programs already slotted for 2021 in a meaningful way. So, I think it’s important that we, not only think about the returns to 2U, but the return to the university and the benefits to the students. 
Stephen Sheldon : Got it. That’s helpful. On – and then just a second on the commentary for adjusted EBITDA to become positive in the third quarter. I just wanted to make sure I understood the implications there. Is that just meant to say that quarterly EBITDA will be positive over the remainder of 2020?  Or does that comment also extend beyond 2020 and into 2021 as we think about absolute profitability based upon what you can see at this point?
Paul Lalljie: So, a couple of things. I think the comment was meant to say that we are actually heading that crossover point. And hope to maintain that as we go forward here from thereon out. Of course, we have only given guidance for 2020.  So for now, that will be a 2020 number. But the bottom-line is, Q1 is normally our biggest expense quarter and our largest CapEx quarter and when we crossover in Q3 of 2020, we hope to maintain that going forward into perpetuity, not just for 2020. 
Stephen Sheldon : Great. Thank you. 
Operator: Thank you. Our next question comes from the line of Jeff Silber with BMO Capital Markets. Your line is open. 
Jeff Silber : Thanks so much. Just wanted to follow-up on that last comment about the hopes to maintain the adjusted EBITDA perpetuity. I guess, most folks were thinking given the step back I guess in 2020 with the program launch and maybe reaccelerating it next year that might be tough to do. Can you give us some examples of how do you think you’ll get there?
Paul Lalljie: So, a couple of things. So, the 2020 spend for us is based on the launches that we made in 2019. The 17 launches that we made in 2019. So that is factored into our calculation, number one. Number two, in every given calendar year, we have – the launches that we have for that period and then we also have layered on top of that, the launches that are going to be did in that current calendar year.  So, for example, in 2019, we had 2018 launches and 2019 launches compounding effect in that fiscal year 2019. In 2020, we are going to have the run-off the 2019 launches and our compounding effect is only five courses for 2020. So that is one thing that will contribute right there on particularly the sales and marketing line and the technology curriculum and support line.  In addition to that, as we exited 2019, we talked about $12 million of runrate expenses as of the third quarter earnings call that we had already made adjustments for. As we guided to Q4, we continued with cost management programs, particularly led by our Chief Operating Officer, Mark Chernis, and he has continued that process into the planning process for 2021 and we expect to see benefits from that as we exit 2020 – 2019 into 2020 and into 2021. We expect to have more reduction in our runrate expenses. 
Christopher Paucek: Yes, I mean, Jeff, the slowing cadence is to our benefit there on the bottom-line. You got a higher number of mature programs that start to just cross the margin and as you have that balance moves, I think people probably forget a little bit just how many we launched in 2018 – in 2019. We launched a lot of programs, 31 in that time period.  So, just compare that back in the day, we were launching four or five a year. It means a lot and it has a very positive impact on growth. Could you give a lot of new enrollments for those programs, allows us to get through the troughs of some of the challenges that we had in our – in some of our more historic programs.  And on those programs, you might heard Paul mention that, if we can see some of those turn to the positive, the way MBA UNC has, we like what that means for the segment. So, we are not – we are certainly not at a point where, we are thinking of older programs as that we are not working every day to try to make them as good as we can.  And, that MBA UNC story shows that by working together with the school, it’s pretty amazing what we were able to achieve in that particular case. So, I would like our odds of being able to continue to improve all of the programs that are in that greater than four year bucket. 
Jeff Silber : All right. That’s great. And I apologize to shift over to a regulatory issue, but, I guess, a number of weeks ago, there was a publicized letter from a couple of senators to your company and some of the others in this space.  I guess they were “questioning” the business practices and some of the OPNs. I don’t know if you had an opportunity to respond publicly to that. I am just wondering if you would like to do that now. Thanks.
Christopher Paucek: Thank you, Jeff. We are in the process of responding to the senators and we really like what we have to say. We think our business, as you heard we mentioned at the close of our remarks, institutional independence in our case could be more relevant to the entire story of 2U, not just legally, but philosophically.  These are their programs and the decisions that they are making every day drives the business and drives their opportunity along with us. We do talk to our partners all the time. We are excited about what we have to say with regard to the power of the business, the business model even in the states of those two particular senators.  So, as an example, Simmons has a 96% board pass rate. In that discipline, if you pass your boards, that’s nursing, sorry, incredibly strong opportunity for the folks that pass their board. It’s kind of a life-changing experience.  So, we will – we are very comfortable with our answers and we do expect a positive dialogue on a go-forward that’s really more than anything about transparency and if you look, we did announced, I don’t know, six months ago, forgive me if it was – I forgot exactly what month it was.  But before all of this, we announced a – we think industry-leading transparency framework that has great opportunity for the rest of this space and for 2U to be able to show people how high quality. What we are doing is and what the results are.  So, ultimately, well timed and even more important, given some of the questions. But I would tell you that the story here is supporting our great partners to do what they wake up every morning and do, which is drive high quality student outcomes for students in all kinds of different disciplines across, literally at this point now, 70 plus total partners. So, more to come on this over time. 
Jeff Silber : Okay. Thank you so much. 
Operator: Thank you. Our next question comes from the line of Jeff Meuler with Baird. Your line is open. 
Jeff Meuler: Yes. Thank you. In terms of the, I guess, decision to launch five degree programs in 2020 and then stuck up in 2021, but to around ten or so, can we read into that? Like, is there any sort of management intention to make EBITDA or free cash flow positively advance year-to-year-to-year?  Sort of the dialing it back five is that to show improvement and then you still do kind of a measured pace of improvement in 2021. Is there some implicit kind of financial, this is something that we could take away that we should expect continued EBITDA or free cash flow improvement beyond 2020? 
Paul Lalljie: Well, I think there are a couple of things. Number one, it gives us an opportunity to work on the runrate expenses in each of our cost categories as we get into 2020, the budget process was one where we did not just take the exit rates out of 2019 and applied into 2020 for the number of programs we launch. We try to integrate the three businesses that we have.  We try to do things more on a consolidated basis and most importantly, our objective is to make sure we have an organization that is nimble, flexible, and at the same time, efficient. Launching five courses next year allows us to be selective.  It allows us to make sure that we have – make sure and ensures that we have the ability to evaluate programs across the prism that Chip spoke of earlier which is return on invested capital making sure we have the quality of program, making sure we go into verticals where we have advantage and then at the same time, making sure that we maintain the quality.  All of these things allow us to have an access to capital, because our mature program cohort becomes larger over time and that allows us to naturally generate better margins and at the same time allow us to manage the business efficiently and be selective in the programs that we launch. We are not stopping or slowing our cadence, because we don’t have demand.  We have strong demand and we are doing this is in an effort to become a scalable, larger and more efficient company as we go forward. In addition to that, the timing of doing all of this allows us to bring the company back to free cash flow as we exit 2021 – exit 2020 and get into 2021.  We are highly confident that the program that we are on will allow us to exit 2020 on a path to cash flow accretion in 2021. 
Jeff Meuler: Okay. And then, just maybe a broader question on what you are experiencing in terms of marketing efficiency. So I guess deals – we get a question, but you stuffed out marketing spend probably a year, year-and-a-half ago and then dialed it back and you are talking about smaller average size programs.  So, and then, I guess, you have the various acquisitions and business lines which you are integrating. So, just, what are you experiencing in terms of marketing efficiency? Have you now kind of dialed back the budget to take out what you increased? Or things looking stable in terms of marketing efficiency at some of the more seasoned programs, et cetera. Thanks. 
Christopher Paucek: Yes. Jeff, things are looking stable and I would say, clearly, given some of the challenges that we’ve talked about over 2019, marketing has been a – I understand why you are asking the question, reasonable question. We feel very confident that we are getting some really strong scale benefits across the cost categories.  And if you look on a vertical basis, many of the verticals that we are entering now or that we are building programs in now, we are pretty excited about what they look like from the standpoint of marketing efficiency. Separately, the amount of work going on from our senior team including our new CMO, Jennifer Ogden-Reese to drive improvements across the marketing funnel by using AI, by using more self-serve options, by using the benefit of share. So, we feel like the headwind that we had from – it is still there from a revenue standpoint.  But we really like what we are starting to see on the enrollment side and you heard Paul mention that the movement of the student engagement team together, we think is actually already paying benefits on student retention and there is nothing that makes us happier than hearing that student retention improves because it is the most important number.  Because it drives the student outcome and also drives our business model. So, pretty excited about some of the things we are seeing right now. And it’s nice to have a call with all of you that we are excited about. 
Jeff Meuler: Thanks, Chip. 
Operator: Thank you. Our next question comes from the line of George Tong with Goldman Sachs. Your line is open. 
George Tong : Hi thanks. Good afternoon. You plan to reaccelerate the rate of your new course launches in 2021 to about ten from five in 2020. How do you internally think about the way you target the pace of new course launches? Is it the number? So is it 10, 10, 10? Or is it really a percentage growth off of the prior year that really determines the blueprint for the growth algorithms of your graduate degree program?
Christopher Paucek: I think, George, you have to think about it with regard to what we talked about before, sort of the return on capital, quality and growth. And then, we are being very thoughtful about the overall balance for 2U. The overall pace and driving the free cash flow and I thought what Paul said a moment ago about what we expect in 2021 is pretty meaningful. 
Paul Lalljie: Yes, George, for us, we’ve been operating for a long time now, number one. Number two, we are a company of size, $737 million of revenue on the top-line. And the third piece is, it’s a series of J curves and becoming cash flow positive with the capital-intensive business is important for us.  So, that is something that we balance as we go through this and with the prism that Chip and I just spoke of earlier, the ROIC the quality and the growth, I think it gets us there to free cash flow crossover in fiscal year 2021. 
George Tong : Got it. That’s helpful. And then, switching gears to margins. Obviously, that the pace of new program launches plays a key role in your EBITDA margin performance. Besides the mix and the pace of new program launches, are there other internal initiatives or levers that you have that could help drive EBITDA margin expansion?
Paul Lalljie: Yes, there are several initiatives internally. If you think of operational efficiencies, whether it is the integration of the acquired assets, whether it’s the Trilogy acquisition and having a consolidated back office, when we think of how we do procurement in the organization and how we do that more efficiently, either on a centralized basis or on a geographic basis.  We also look at it from the perspective of how can we manage the organization more efficiently with the use of technology and also with the use of management techniques as we go forward. So, it’s a broad spectrum. I mean, I am not going to get into the details of what each of these programs are, but it’s a normal breadth of activities that you would go through in an organization that has grown rapidly.  When you grow rapidly, your focus on the top-line grows. What we need to do is consolidate, become efficient, so that we can now scale going forward and the organization is well on its way to do that. 
Christopher Paucek: And George, what I would say also, we are – you can hear it in our comments. You can see in the results. We are definitely focused on improving the bottom-line, not just the top. But, I would like to reemphasize that we do have market-leading growth.  This is still an incredible growth story across the business and I hope it is now a bit more obvious to everyone the sort of strategic rationale for some of these moves we've made. The short course business and the boot camp business are both important to the future of the university and they are driving real results for 2U.  It’s pretty incredible to see in six months what we’ve done just on the short course side as an example. So, we are balancing growth and profitability, but let's not forget that we still lead the market here. 
George Tong : Got it. Very helpful. Thank you. 
Operator: Thank you. Ladies and gentlemen, in the interest of time, I would now like to turn the call over to Chip Paucek for closing remarks.
Christopher Paucek: Thank you everybody. We appreciate. We will see you out on the road. Take care.